Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries Third Quarter 2023 Results Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, November 3, 2023. I would now like to turn the call over to Martin Schwartz, President and Chief Executive Officer. Please go ahead.
Martin Schwartz: Okay. Good afternoon and thank you all for joining us for Dorel's third quarter earnings call for the period ended September 30. Joining me are Jeffrey Schwartz, CFO; and Frank Rana, VP of Finance. We will take your questions following our comments. And all figures mentioned during this call are in US dollars. Dorel Juvenile delivered double-digit revenue growth and an impressive turnaround in earnings. Their new products are clearly winning with consumers and our business is gaining market share in an industry that is down from last year. Dorel Home revenues continued to improve for the third quarter with positive indicators at brick-and-mortar. Considering the continuing challenges for consumer product companies, I'm pleased to say that our two segments are navigating positively through -- though we recognize the need for continuing improvement. A further positive is that retailers selling our products now have far less inventory on hand and our own inventory levels are at their lowest in two years. The vast majority of the high-cost inventory from last year has been sold and current lower cost inventory is contributing to improving margins. Looking specifically at our two segments, Dorel Juvenile posted year-over-year and sequential improvement in both the top and bottom lines. Operating profit would have been even better had it not been for the currency impact in Europe. New products are continuing to drive sales as was evidenced during September's Cologne Juvenile product show. We've built excitement with our teams and connected strongly with our customers from all over the world, writing the most orders ever at Cologne. The new MICA 360 Pro was unveiled a seat that can be used from birth to four years old. It's the latest addition to the groundbreaking Maxi-Cosi 360 Pro family, featuring Dorel's slide-tech technology. In addition to the Cologne show, Juvenile attended several local European fairs during Q3. Among the items unveiled was a new Maxi-Cosi 3-in-1 stroller in what is termed the Comfort segment. There is a considerable market for this latest entry as it's at the right price point with all the features consumers are looking for. Maxi-Cosi now offers parents a wide range including car seats, strollers, home equipment and connected products to take them through their parenting journey. These launches represent continuous improvement in the European product portfolio, allowing Juvenile to retake market share something we are clearly doing. Another exciting development was Juvenile's recent partnership with Baby List at the grand opening of their first flagship showroom in Beverly Hills. The showroom offers a guided registry and product showcase for Maxi-Cosi, Tiny Love and Safety 1st take center stage with dedicated displays just as you enter the store. This partnership is a testament to Dorel Juvenile's commitment to innovation providing parents with the opportunity to explore our products. Additional launches are planned to further broaden Juvenile's product portfolio and strengthen its position in the market. While sales are not where they have to be at Dorel Home, there were nonetheless a number of positives during the third quarter. Revenue and gross margins have increased steadily through the current year with lower freight and board costs contributing to improved margins. Inventories have also decreased considerably from last year's comparable period than is the case with Juvenile. Also Home has also been successful in depleting its higher priced stock. Last month's High Point furniture market drew excellent attendance to the Dorel Home showroom. Comments regarding the segment's new product introductions were extremely positive with customers saying it was Home's best lineup ever. We are enthused with our new product development talent. Currently the furniture industry is experiencing a moderation in consumer spending. This year's numbers show a continuation of slower growth. Challenging interest rates are tempering spending, but there are a number of things in place at Dorel Home to capture sales as consumer appetite returns. Several new products are scheduled for next year and we feel somewhat positive that Home will gain market share. Looking ahead, we maintain our overall forecast of quarter-over-quarter earnings improvement going forward. At Dorel Juvenile, our market share data confirms that we are gaining sales at the expense of the competition with our new innovative product that is resonating with well with consumers. While we are concerned by the economic environment in which we are operating, we remain focused on bringing winning products to the marketplace, partnering with our retail customers and investing in e-commerce to ensure that the progress so far this year continues for the balance of 2023 and into 2024. Results at Dorel Home are less positive, but sales have been steadily improving and we are narrowing our losses. The segment is operating in a challenging environment. Slowing the pace of our turnaround, but expectations are that we should deliver an operating profit as soon as fourth quarter of this year, setting the table for a much better performance in 2024. I will now ask Jeffrey to review the financials.
Jeffrey Schwartz: Thank you Martin. For the third quarter of 2023 Dorel's revenue decreased by $14.5 million or just under 4% compared to last year. The organic revenue declined about 5.9% after removing the variation of foreign exchange rates year-over-year. The revenue and organic revenue decline was caused by the Dorel Home Group, which was partially offset by improvements in Juvenile. In the Dorel Home, the revenue decline was mainly at the online level where as opposed to brick-and-mortar channel, which we actually saw growth in during the quarter. Gross profit for the quarter increased $27 million or 69.7% compared to last year. Gross margin in the third quarter was $18.3 million, representing an improvement of 790 basis points from 10.4% last year. Improvement in gross profit in the quarter was both in Juvenile and Home. In Juvenile, it was mainly due to improved product mix, lower product costs and a stronger -- actually weaker US dollar relative to major currencies from last year. In Dorel Home, the improvement was also due to lower product costs as well as increased factory absorption from slightly improved domestic manufacturing activity. The operating loss for the quarter was $3.7 million compared to $33.7 million last year. Excluding restructuring costs, the adjusted operating loss decreased by $27.8 million to an adjusted loss of $3.7 million this year from 31.5% last year. Finance expenses in the quarter increased by $1.4 million to $6.5 million and that's related to the average interest rate cost compared to last year. The overall net loss for the quarter was $10.4 million, $0.32 per diluted share compared to $36 million or $1.13 diluted share last year. The $1.13 when you look at it from -- excluding restructuring costs was $1.07 last year. We move over to Juvenile. We're pretty happy with the quarter. It is on the trajectory that we wanted it to be on from the beginning of the year. So revenue increased by $19.3 million or 10.3%. Organically, that number drops to 6.4%, because of foreign exchange. The improvement in revenue and organic revenue was mostly in the US and European markets although we did see some strength in some of the other foreign markets as well. In the US, the increase was across the board in all brands and categories. Europe actually experienced double-digit revenue growth for the second sequential quarter from the new product launches that continue to gain momentum and that was both in the specialist and the e-commerce channel. Gross profit for the quarter increased $25 million or 83.5% compared to last year's third quarter. The gross margins were 26.7% representing an improvement of 1,060 basis points over last year. That is mostly again due to lower costs, better efficiencies, better absorption, weaker US dollar. All of those things are helping us get our margins to where we want it to be. On the operating profit, which is nice to say on operating profit for the quarter was $3.2 million compared to a loss of $18.4 million last year. If we look at the restructuring costs that loss last year was $16.2 million without restructuring costs. If we go over to the Home side, third quarter revenue dropped by $33.7 million or 18%. The decline in the revenue is mainly as we said before reduced online sales, pretty much across the board where we do online sales. However, on a sequential basis, the third quarter revenue did increase by about 15% over the last two quarters and that's important for us. Gross profit for the quarter increased by $2.1 million or 23%. Gross margin in the quarter was 7.1%, which was an improvement over – up 230 basis points from 4.8% last year. Again, the reason for that lower product costs both in raw material freight and a smaller percentage of the older higher cost inventory that we opened the year with as that depletes allows our margins to go up. The level of older, higher cost inventory has actually been reduced significantly. There's a little bit left but it's a much, much smaller amount than we've had in previous quarters. The margin also was impacted positively by slightly better domestic manufacturing activity. And we hope to see that activity picking up over the next few quarters, which will also lead to some improvements. On a sequential basis, gross margins improved by 570 and 310 basis points compared to the first and second quarters of this year. The margins should continue to improve, as freight costs on board and overseas finished good costs have all decreased significantly from the start of the year and as the remaining older, higher cost inventory. Finally, the operating profit in that group declined – the loss – sorry, the loss declined by $4.4 million to a loss of $3.6 million from about $8 million last year. With that I will pass it back to Martin.
Martin Schwartz: Okay. Thank you, Jeffrey. I'll now ask the operator to open the lines for questions and request that you please limit them to two in the first round. Operator?
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions] The first question comes from Derek Lessard with TD Cowen. Please go ahead.
Derek Lessard: Thanks and good afternoon, everybody. So I just wanted to start with Juvenile. It looks like some encouraging trends there. But one in particular stands out to me and that's in the US, where I think just last quarter you called out the difficult operating conditions as I think retail customers were rightsizing their inventories but you went from zero to basically double-digit growth. Is it fair to say that you're on the other side of this in the US?
Jeffrey Schwartz: I would think so. As you know, Derek, I think I've explained we've divided our – driven our business into three areas now Europe, North America and what we call International. All three of them are doing very well. The US absolutely, we continuously – every quarter we're seeing market share gains. It is tough still out there. There's not a lot of customers. And the bigger ones are probably growing a little slower. We are doing much, much better with the smaller players but – we are still doing well with the big players in general. But we are looking at this point to market share. And as we see gains there, we have to be a little bit patient and hopefully we'll see the market in general improve. But in the meantime, we're pretty pleased with where we're going.
Derek Lessard: Okay. And then maybe just switching gears to the cost structure maybe both businesses starting with gross margin. Juvenile has again shown I guess the greatest progress as you could say. But how do you think about, where you are right now in terms of your gross margin and how do you get back to sort of the pre-pandemic levels? It looks like you're close, but what's going to take you to the next level in Juvenile?
Jeffrey Schwartz: Yes. It's a good question. So, where we're going with that is, we're seeing our mix moving in the right direction. We're selling more and more Maxi-Cosi products as an example, which carries much higher gross margins. We're seeing a lot of success there, both in Europe obviously that's one of Maxi-Cosi's main areas. But we're seeing it in North America and international as well. A lot of that is led by innovative products. So when you have the right product, people will pay for it. And we continue to be successful in those areas. So, that's helping really drive the margin as is volume. I've always said that we were just operating at a breakeven type volume area, where it was tough you had to cover all your costs. But once you pass that, you start to see really your margins increasing much quicker. And I think that's where we are. So mix is probably the most important thing. And then level of leverage is probably number two.
Derek Lessard: And then maybe and that's helpful. And maybe before requeuing. I'll just maybe the same question for Home. But gross margin there you're probably at the quarter, but you were at its peak. So, is it a reasonable expectation? Or do you have an internal goal to get back to the sort of pre-COVID or pre-pandemic levels?
Jeffrey Schwartz: I mean pre-pandemic levels. The problem with Home, when you go back is pre-pandemic you have that whole tariff issue, right for about 1.5 years. So if you really want to take out all the noise, you probably got to go back to 2017. In the business world that's 100 years ago. So, it's a little more difficult to compare. But yes, if you're asking, can we do better? Yes, absolutely, we can do better. Volume is still challenging. It's still a difficult environment where people are not necessarily choosing to buy furniture products. We are focusing in on doing what we need to do to drive the sales and take costs out of the system. I mean, costs are coming down and we are looking at different ways to remove the costs. And we're seeing sales increasing. But it's at a slower rate than we would have hoped for.
Derek Lessard: Thank you.
Operator: [Operator Instructions] The next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Great. Thank you and good afternoon. Just a couple of questions that I wanted to follow up on here. Just in terms of the Juvenile business, can you talk a little bit about where you're seeing your share gains? You mentioned that a couple of times in the press release as well as the outlook. So, just curious, is that are there specific geographic markets or specific product end markets or is it something that you're just seeing sort of broadly across the board?
Jeffrey Schwartz: It's primarily car seats. But it is across the board from a geography standpoint. So a lot of success in Europe. A lot of success in Europe. Also good success in the United States and Canada. Australia, we're having a tremendous push on car seats as well down there. Other products are doing well. But I think if you look at what's causing all this, it really is the newer car seats that we've introduced.
Stephen MacLeod: Okay, that's helpful. Thanks Jeffrey. And then maybe just secondly when you think about the home business you're talking about the brick-and-mortar in-store sales turning positive can you just talk a little bit about what the drivers are there? And then I guess the flip side of that would be what are the drivers that are continuing to weigh on online? Or is it all just demand-related?
Jeffrey Schwartz: Let's start with bricks and mortar. So, one of the things that played best like earlier this year and maybe the end of last year was the lack of actual product on the shelves. So, that was -- I think we've spoken about that. It was a real issue where our customers had the product in their systems but not on the shelf because lots of different reasons including lack of focus on furniture lack of labor to get the product on the shelves. Lots of different reasons. So, that stuff is now pretty much -- that problem is gone and with a lot of product on the shelf, it's a lot easier to buy that. We've also -- we focused on that area. We've always that's kind of where we started. There's less competition in that area for bricks-and-mortars. You got to be able to do that work. It's not the same as one at a time pieces. And I think people in general are just going into stores again and that's not an issue like we had during COVID where nobody wanted to go into stores. So, I think we're seeing a general pullback on online. It's still strong. But I think between maybe more competition and weaker demand is causing the and I'm going to throw one more thing in there. I think -- because it's not across the board. We have some online customers that we're actually improving on. I think it's focus. I think some of the retailers have decided that furniture given -- interest rates given the challenges of the American and I guess World Consumer has that perhaps furniture is in the category to key in on. And we're sort of feeling that as well because where we do have more active customers who are really focused on it we're actually seeing growth.
Stephen MacLeod: That's great. Thank you. And then maybe just one more if I could. Just in terms of the inventories it sounds like obviously you saw the positive impact on your margins from selling through a lot of the high-cost inventory. And then you also talked about retailer inventory being less in the channel. Do you still think that there's an opportunity for retailers to replenish their inventory levels into Q4, which could drive accelerated sales growth on your end?
Jeffrey Schwartz: I think retailers are being pretty cautious this year. So, I'm not seeing sort of what I would call the upside of what you suggested. Having said that, given that their inventories are now down we're not also seeing sort of a -- they're not pumping the brakes, but they're not really accelerating. I think everyone is still nervous about the consumer. And I think they're still trying to carry less inventory, than historically they have.
Q – Stephen MacLeod: Okay. That’s great. Thanks, Jeffrey.
Operator: The next question comes from Derek Lessard with TD Cowen. Please go ahead. 
Q – Derek Lessard: Yes, Jeff, I just wanted to hit on your G&A line. It is -- you talked about some cost cutting, but if you look back it seems like it is a bit higher than a percentage of sales basis in both segments. So I was wondering, if you maybe can talk about, how it got there and anything to suggest why either it should stay that high or any other cost initiatives that you've got in the pipeline?
Jeffrey Schwartz: Right. Well, we'll start with – okay, there's I think two answers. One on the Home side, I think it's just a level of volume. We are looking at it. I mean obviously, part of it is related -- has a variable relationship with sales, but some of it doesn't. So we are looking at that. We are expecting sales to go up. And hopefully, between everything that we're doing next year we'll right size that number. The Juvenile answer is a little different and maybe it's a little more positive. And that is -- it's been a number of years that we've missed our plan and the incentive programs haven't really kicked in for all the employees. And as of the end of the third quarter, we're on schedule to hit our internal plan and we've got incentives built in. And that's probably the single largest item in there, that I can think of that wasn't there last year at this time I mean that's a good thing, I guess right? I mean you want to give people their bonuses when we perform. And they are on schedule to hit their time.
Q – Derek Lessard: Right. And just maybe a few housekeeping for me. How much debt did you pay down in the quarter from your cash flow? I think you pointed out.
Jeffrey Schwartz: Right. Okay. We're just checking on that here. What's the number? Yes. No, real pay down. Yes.
Q – Derek Lessard: Okay. And you also pointed out in the press release the discussions, with the lenders are ongoing. Just curious if you've got any update on when you expect to cross the goal line.
Jeffrey Schwartz: Yes. I mean, I'm going to start with a disclaimer and that disclaimer is until we have a signed deal we don't have anything, right? So it's dragging out a little bit longer than we had hoped, but we have made significant progress versus three months ago. So again, I'm hoping it will be sooner rather than later. And that's all I can really say. It's really -- I'm really in a box on this one.
Q – Derek Lessard: Okay. Thanks for taking my questions, everyone.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Martin Schwartz for any closing remarks.
Martin Schwartz: Okay. Well, thank you all for joining us and I wish you all a very good weekend.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.